Anders Trapp: Thank you, Rafiya. Welcome everyone to our first quarter 2023 earnings call. On this call, we have our President and CEO, Mikael Bratt; and our Chief Financial Officer, Fredrik Westin, and [indiscernible] I am the, VP of Investor Relations. During today's earnings call, Mikael and Fredrik will, among other things, provide an overview of the strong sales development in the first quarter, discuss operating leverage and outline the expected sequential margin improvement for 2023, as well as provide an update on our general business and market conditions. We will then remain available to respond to your questions, and as usual, the slides are available at autoliv.com. Turning to the next slide, we have the Safe Harbor statement, which is an integrated part of this presentation, and of course, includes the Q&A that follows. During the presentation, we will reference some non-U.S. GAAP measures. The reconciliations of historical U.S. GAAP to non-U.S. GAAP measures are disclosed in our quarterly press release available on autoliv.com and in the 10-Q that will be filed with the SEC. Lastly, I should mention that this call is intended to conclude at 03:00 PM Central European Time. So, please follow a limit of two questions per person. I will now hand over to our CEO, Mikael Bratt.
Mikael Bratt: Thank you, Anders. Looking on the next slide. I would like to start by thanking our employees for a good execution, supporting our strong growth in a challenging environment. The sales performance and strong profit recovery was in line with our earlier communicated expectations. Thanks to a strong ending of the quarter, our organic sales grew by more than 20% outperforming light vehicle production significantly. The strong growth was a result of product launches, higher prices, and higher safety content per vehicle and also supported by a positive regional mix. Our profit development was as expected considering that market conditions continued to be challenging, especially in Europe with significant inflationary pressure and continued customer pool of volatility. Mainly due to strong sales [indiscernible] adverse working capital development led to negative cash flow in the quarter. We expect a [indiscernible] cash flow trend for the rest of the year. Our leverage ratio increased to 1.6 times to 1.4 times three months ago. In the quarter, we paid $0.66 per share in dividends and repurchased and retired 450,000 shares. We issued our first green bond that allows us to reach new investors and at the same time help fund advancement of our climate targets. We have a strong commitment to climate actions and this is a milestone in supporting our customers in achieving their sustainability ambitions. We are expanding to Vietnam, investing in increased production capacity of airbags, cushions in Asia for Asia. We saw updates to crash test standards and safety regulations in the U.S. and in India, which will support continued increase in safety content per vehicle already this year as well as coming years. We also continue to look for ways to improve our footprint and reduce our costs structurally. The first quarter development [indiscernible] and we continue to expect a gradual improving adjusted operating margin during the year. This should allow us to reach the full year indications we set at the beginning of the year. Now looking at the expected adjusted operating margin progression for 2023 on the next slide. For 2023, we expect a gradual improvement of the adjusted operating margin quarter-by-quarter, similar to the trajectory in 2022. We expect continued high sales growth supported by launches, higher light vehicle production and content per vehicle increase. We anticipate price adjustments will gradually throughout the year offset cost inflation that affect us in the first quarter. The positive trajectory will be further supported by improvements from cost reductions, footprint optimization, as well as expected gradual improvement of the supply chain and light vehicle production stability. FX are limited in the first half of the year and significantly larger in the second half of the year. [Indiscernible] makes me confident in a gradual improving performance, which should allow us to deliver a significant full year increase in cash flow and adjusted operating income. Looking now on our sales growth in more detail on the next slide. Our consolidated net sales increased by US$2.5 billion, a record for the first quarter. This was close to US$317 million or 17% higher than a year earlier, despite $77 million or four percentage point’s currency headwind. Price volume mix contributed with $444 million. Looking on the regional sales split, Asia accounted for 38%, Americas was 33% and Europe was 29%. The China share decreased from 21% a year ago to 18% now as light vehicle production grew in all regions in the quarter, except in China, where it declined significantly. We outlined our organic sales growth compared to light vehicle production on the next slide. I am very pleased that our organic sales growth significantly outperformed global light vehicle production growth in the first quarter. This was achieved as we continued to execute on our strong order book. According to S&P Global, light vehicle production increased by around 6% year-over-year in the quarter. This was slightly higher than expectations in the beginning of the quarter. Based on the latest light vehicle production numbers, we outperformed global light vehicle production by around 15 percentage points in the quarter. In the quarter, we outperformed in Japan by 17 percentage points, in China by 16 percentage points and in Europe by 14 percentage points. Compared to the fourth quarter last year, light vehicle production in the first quarter fell by around 4%. Despite this, our sales increased by 7% sequentially, supported by new launches, market share gains and content per vehicle growth. We expect these positive sales trend to continue, and we expect to outperform light vehicle production by around 12 percentage points for the full year 2023. Looking now on financials in more detail on the next slide. The strong sales increase led to a substantial improvement in adjusted operating income, including effects of capacity alignment and antitrust-related matters, which increased from $68 million to $131 million. The adjusted operating margin was 5.3% in the quarter, an increase of 2.1 [ph] percentage points from the same period last year. Operating cash flow was negative $46 million, which was $116 million lower than the same period last year, mainly from adverse working capital as an effect of significantly higher sales level towards the end of the quarter. Fredrik will provide further components of cash flow later in the presentation. On the next slide, we see some key model launches from the first quarter. In the quarter, we had a high number of product launches, especially in China and Europe. The models shown on this slide have an Autoliv content per vehicle from approximately $140 to close to $550. These models reflect the changes seen in the automotive industry in the recent years, with several relative new OEMs represented and that six out of nine [indiscernible] as pure EV. In terms of Autoliv sales potential, the Subaru launches are the most significant. The long-term trend to higher content per vehicle is supported by front center airbag, more advanced seatbelt and pedestrian protection airbags. I will now hand it over to our CFO, Fredrik Westin, who will talk about the financials on the next few slides.
Fredrik Westin: Thank you, Mikael. This slide highlights the key figures for the first quarter of 2023 compared to the first quarter of 2022. Our net sales were $2.5 billion this was 17% higher than the first quarter of 2022. The gross profit increased by 32% to $379 million, while the gross margin increased to 15.2%. The gross profit increase was primarily driven by price increases, volume growth and lower costs for premium freight. In the quarter, we made $4 million in provisions for capacity alignment activities and antitrust-related matters. The adjusted operating income increased from $68 million to $131 million. The adjusted operating margin increased from 3.2% to 5.3%. We do recognize that the operating leverage on the strong sales growth was limited in the quarter, and I will explain more when we go through the operating income bridge. The operating cash flow was negative $46 million. Earnings per share diluted decreased by $0.08, where the main driver was $0.52 from capacity alignments and $0.05 from taxes, partly offset by $0.51 from higher adjusted operating income. Our adjusted return on capital employed and return on equity increased to 13% and 12% respectively. We paid a dividend of $0.66 per share in the quarter, and repurchased and retired around 450,000 shares for $42 million under our stock repurchase program. Looking now on the adjusted operating income bridge on the next slide. In the first quarter of 2023 our adjusted operating income of $131 million was $63 million higher than the same quarter last year. The impact of raw material price changes was negative $12 million in the quarter. Foreign exchange impacted the operating profit negatively by $25 million; this was mainly a result of [indiscernible] translation effects from the Mexican peso. Costs for SG&A and RD&E, net combined was $26 million higher mainly due to higher personal costs and projects. Operations were positively impacted by improved pricing, higher volumes, lower costs for premium rate as well as our strategic initiatives partly offset by the significant headwinds from general cost inflation. The impact of the strong sales growth was relatively low in the quarter as new product launches have a lower operating leverage initially. As a result, the leverage on the higher sales excluding currency effects was in the low-end of our typical 22% operational leverage range. The actions we are now taking that Mikael talked about previously should lead to significantly higher operating leverage, profitability and cash flow as the year progresses very much like last year. Looking now on the cash flow on the next slide. For the first quarter of 2023, operating cash flow decreased by $116 million to a negative $46 million due to higher working capital and lower net income. During the quarter trade working capital increased by $226 million essentially from higher receivables. The higher receivables was a result of high sales towards the end of the quarter. The inefficiencies in inventories did not materially improve as light vehicle production continued to be volatile. For the first quarter capital expenditures, net increased to $143 million from $17 million in the previous year's quarter. The first quarter last year was positively affected by the sales of a property in Japan for $95 million. Excluding the property sale, CapEx in relation to sales this quarter increased to 5.7% from 5.3% a year ago. The current high level of investment is related to the ongoing footprint activities and capacity expansion for growth, especially in China. For the first quarter of 2023, free cash flow was negative $189 million; $242 million lower than a year earlier. Although our cash flow was temporarily weaker in the first quarter, we expect a gradual positive cash flow development for the rest of the year from higher net income and a more stable sales level. Our full year indication is for an operating cash flow of $900 million and that is unchanged. Now looking on our leverage ratio development on the next slide. The leverage ratio at the end of March 2023 was 1.6 times. This was 0.2 higher than in the previous quarter at the net debt increase proportionally more than the 12 months trailing adjusted EBITDA increased. We do remain committed to our 2022 to 2024 share repurchase program, and as you know, we are considering several factors when executing the program. As we have mentioned many times, we are not only considering the debt leverage ratio when deciding on the pace of the repurchases, we're also considering our balance sheet, cash flow outlook, the debt rating and the general business outlook. We're always strive for the balance that is best for our shareholders both long and short-term. Now looking at the next slide, sustainability is integrated into everything we do by reducing the number of road fatalities and making transportation systems safer for everyone, our core business directly contributes to the United Nations Sustainable Development Goals, STGs. During the first quarter, we successfully issued a first €500 million green bond using Autoliv's sustainable financing framework aligned with the EICMA green bond principles. The issuance drew significant interest from debt investors leading to a successful pricing of the bond, resulting in a coupon of 4.25%. The proceeds of our first green bond used exclusively for financing green projects including clean transportation, renewed energy, energy efficiency and de-carbonization of operations and products. With a projects financed by the green bond we believe we can further contribute to sustainable society. Now looking at the liquidity position onto the next slide; at the end of the quarter, we had a strong liquidity position with approximately $1.8 billion in cash and unutilized committed credit facility. With a sustainable financing framework we have diversified our long-term funding sources. We also have a maturity profile that is well spread out over the coming years. Note that none of our credit facilities are subject to financial covenants. With a leverage ratio of 1.6 times, our BBB S&P rating with stable outlook, a balanced maturity profile and the strong liquidity position, we are well positioned to operate in any environment. I’ll now hand it back to you, Mikael.
Mikael Bratt: Thank you, Fredrik. Let’s look market environment and financial outlook for 2023 on the next few slides. Due to supply constraints of semiconductors, large part of the auto industry have been operating at or near recessionary levels. As the supply of semiconductors has improved somewhat, S&P Global has upgraded the near-term light vehicle production forecast. For second quarter, global light vehicle production is now expected by S&P Global to improve by 13% compared to last year. Compared to the first quarter, volumes are expected to be about unchanged. Despite concerns surrounding elevated vehicle pricing in some markets and deteriorating credit conditions, global production is corrected to increase by [indiscernible] to close to $83 million in 2023, according to S&P Global. The Chinese market remains volatile short term due to the discontinuation of last year’s lower purchase tax and the introduction of new emission rules leading to destocking of inventories at the dealerships. Light vehicle production in North America is projected by S&P to increase by more than 5% in 2023. However, due to recessionary figures, an increasing inventory levels, the forecast for second half of 2023 has been revised lower. S&P outlook for European light vehicle production has increased by 300,000 units. However, we remain cautious regarding European vehicle demand for 2023. Looking at the 2023 financial indication on next slide. Our full year 2023 indications are unchanged and exclude costs and gains from capacity alignment, antitrust-related matters and other discrete items. Our full year indication is based on light vehicle production growth assumption of around 3%. We expect sales to increase organically by around 15%. Currency translation effects are assumed to be around negative 1%. We expect an adjusted operating margin of around 8.5% to 9%. Operating cash flow is expected to be around $900 million. Our positive cash flow trend should allow for increasing shareholder returns. Turning to the next slide. I am looking forward to seeing you at our Investor Day, which will be held on Monday, June 12 at our technology center in Auburn Hills, Michigan, U.S. The focus of the event will be on medium- and long-term growth opportunities, world-leading products, our strategic road map as well as our innovation wins in optimization and operation efficiency and what progress we are making. The format is a half day with presentations by members of our executive management team and exhibitions of Autoliv’s latest innovation and technologies showcased by subject matter experts. I’m looking forward to seeing many of you there. Turning to the next slide. This concludes our formal comments for today’s earnings call, and we would like to open the line for questions. I will now turn it back to Rasala.
Operator: Thank you, sir. [Operator Instructions] Thank you. We are now going to proceed with our first question. The question is come from the line of Colin Langan from Wells Fargo. Please ask your question. Your line is open. 
Colin Langan: Great. Thanks for taking my questions. Just in terms of the labor cost recoveries, any framing of any impact in Q1? And then I think in the past, you’ve kind of given an update of what sort of percent of contracts you’ve been able to renegotiate. Any sort of color there on how that’s trending in Q1 and so far in Q2?
Mikael Bratt: When it comes to the price negotiations, I would say it’s too early at this point to start to give you an indications on bridge [ph]. I would say that it’s in relation to the full year expectations here on the price adjustments; we are in the early stage here. And I would say it is a limited impact, but it is an impact in line with our expectation [indiscernible] in time. So what I would like to say here is that we’re making the progress we need to do to support our confidence when it comes to for the full year here. But it’s not meaningful to give a percentage points at this point – at this point in time in and the contracts connected to labor.
Colin Langan: Got it. And during the quarter, steel prices have jumped quite a bit. Can you just remind us sort of what your risk would be? And because I know you’ve changed the way your contracts are structured. So are there triggers that renegotiate this, I believe, or any risk there to the outlook from that jump in steel prices?
Fredrik Westin: No, you’re right. We have also seen that the steel prices have now turned upwards again in certain areas. So that means that we – whereas we were initiate [ph] a quarter ago, we’re expecting actually to have a positive effect on the – from steel prices on us. For the full year, we now expect that to be more or less flat with the outlooks that we have here. We have indicated that we have now a better balance of how we’re set up versus our suppliers and then our customers that we should be able to manage this and not have any significant impact on profitability from this development.
Colin Langan: Okay. Any color on the percent of contracts that have sort of clauses that trigger renegotiation? I thought in the past, you said something like 90% and maybe I’m misinterpreting that.
Fredrik Westin: No, we said that we had to close more than 90% of the negotiations related to raw materials. And that we are now roughly half of our business on the sales side – on the customer side now has an indexation type of setup that would adjust for raw material fluctuations. And steel has a larger part than other commodities.
Colin Langan: Great. Thanks for taking my questions.
Mikael Bratt: Thank you. 
Operator: We’re now going to proceed with our next question. And the questions come from the line of Emmanuel Rosner from Deutsche Bank. Please ask your question.
Emmanuel Rosner: Thank you very much. Just a fairly specific question here on a piece of your operating income bridge on Slide number 10. It seems like currency was a fairly large headwind. It seems like a meaningful portion of – as a percentage of last year operating income, but obviously, a much smaller impact on the revenue side, which is only a few percent. So can you just go over what’s happening there on the FX side? Because it seems like excluding that, I think your margins would have been somewhat meaningfully better.
Fredrik Westin: Yes. So, we’re showing here year-over-year effect of negative $25 million. We’re close to $20 million of that is from transactional currency effects and the translational and then the revaluation parts are smaller also both [indiscernible] about $2 million each. And so the negative impact is from the appreciation of the Peso against the U.S. dollars. That’s roughly two-thirds of the negative transactional effects, but we also have negative effects on a year-over-year basis still from the U.S. dollar, Japanese yen and also U.S. dollar Korean won. They have improved sequentially, but they have still on a year-over-year view here, they also have a negative impact for us.
Emmanuel Rosner: Okay. And any thoughts on the – in your outlook, is that a meaningful contributor in the full year?
Fredrik Westin: No, we – full on FX, we do indicate here that on the revenue side, we still see the negative 1% and then how all the currency payers [ph] of payout over the year we’ll see. I mean we, of course, do expect the currency rates stay where they are that in the second half of the year, we should have a pretty favorable effect from the Asian currencies against the dollar. But then we have to see also then how the peso develop here and others.
Emmanuel Rosner: Okay. And then I was hoping to get a little bit more color from you on the characterization of operating conditions in Europe. I think you’ve qualified them as still challenging. Obviously, latest IHS suggests that at least in absolute volume terms, things sort of like play that’s meaningfully better than maybe expected just sort of like a few months ago at the start of the quarter. So maybe quite a bit more volume than expected. Can you just maybe just describe – I understand the inflation piece. Just curious about what you’re seeing in terms of the choppiness of schedules and the sequential improvement in volume?
Mikael Bratt: Yes, as we said here, I mean, [indiscernible] I expect 300,000 vehicles more increase here. We are maybe under more cautious side there. And the reason for that is we continue to see some volatility here. It has improved, but it’s far from over and behind us here. So that is still a factor. And of course, that in combination with the inflationary environment and challenges also on the labor side here, it is operate here, but we are moving in the right direction. But I would say the overall environment has some way to go before we are out on the other side.
Emmanuel Rosner: Okay, thank you. 
Operator: We’re now going to proceed with our next question. And the questions come from the line of Rod Lache from Wolfe Research. Please ask your question. 
Rod Lache: Hello everybody. Firstly, the quarter itself benefited from stronger-than-expected production and obviously stronger-than-expected revenue. Can you talk about whether that production part itself actually converted at its historical rate? I’m not talking about the new business side. And if it did, what were the negative variances versus what you expected at the start of the year? Is it largely currency? Or are there any other developments that you would count as negatives?
Fredrik Westin: No, I mean, as we indicate, it’s not at the level that we would want it to be, the leverage ratio. And it’s – predominantly, it’s still the call of volatility and the impact that, that has on our ability to operate efficiently in our plants where we are – have issues to pull through at the historical leverage rates that we could – we will expect. But then on top of that, as you already mentioned, there is a significant contribution here from new launches, market share gains. And of course, that does not have the same margin impact or leverage rate as just the floating with LVP. And that also then is a contributing factor to the somewhat lower leverage in the quarter.
Rod Lache: Okay. But relative to your expectations, you’re suggesting that it’s – it was a bit more volatile, it sounds like.
Fredrik Westin: No, I wouldn’t say it is more volatile than we had expected. I mean we had indicated around 5%. That’s where we come in. I think the top line is also very much or very close to our expectations. So at least for us, there are no big surprises in the quarter.
Rod Lache: Okay. Okay. Can you just give us a little bit more insight into the drivers of this margin improvement from the low 5s to the low double digits, which would be implied by your full year guidance? It seemed that you would get there by late this year. How much of that is the internal savings that you anticipate? How much do you need to recover of costs that you’ve been absorbing?
Fredrik Westin: The factors are, I mean we still expect top line growth also from sequentially the quarter. So that will be a contributing factor. Then of course, the price adjustments that we are taking here to be able to negotiate and then come through with here starting in the second quarter. And then it’s – the third one is the stabilization component, which I already mentioned. It’s difficult to now give a split of those three, but those are the main factors here that we expect to contribute to the margin improvement sequentially.
Rod Lache: Have you defined the automations and digitization savings for this year? And what your objectives are? It sounded like those are bigger than what you had originally planned two or three years ago.
Fredrik Westin: No, we haven't given a specific number for that and not on a yearly basis here, but of course, that's the support of our overall journey here towards the midterm targets. But I think for this year, it is really all about the work that we are doing now to negotiate price adjustments for the inflationary components and then continue with our strict cost control and improvement work here to support the leverage that we have discussed here before. And I mean, as we have guided for this year, we are then indicating two percentage points improvement basically around two percentage points improvement year-over-year. And we are starting now the Q1 with two percentage point’s improvement, Q1 versus Q1. So that set us off to a good start for the full year in line with our plan and expectations. And as we have also said here, we expect a sequential improvement quarter-by-quarter similar to the way we saw it in 2022. And that, of course, that comes to, that 2023 is very much the same as 2022 in terms of inflationary pressure hitting us first then we are going through the price negotiations with our customers, and they are trickling in gradually here throughout the year, in combination with what is also a normal seasonality that we have the productivity coming through throughout the year while price down [indiscernible] is happening in the beginning of the year. And instead of price downs here, we are talking about the inflationary pressure. But this analysis is the same.
Rod Lache: Right. Thank you.
Operator: We are now going to proceed with our next question. And the questions come from the line of Philipp Konig from Goldman Sachs. Please ask your question, your line is opened.
Philipp Konig: Yes, hi guys, and thanks for taking my questions. My first question is just on the SG&A which stepped up quite meaningfully in absolute terms compared to sort of the previous quarters. I know that you are top line and there is inflation in the system, but where there may be some agreements that you had including one time payments that sort of weighed on to your SG&A in the first quarter, or do you expect that to sort of remain in above 5% of sales in the coming quarters? And then my second question is just Mikael on the point that you just touched on earlier is that you mentioned sort of 2% ahead of last year is what you need to get to the guidance that you set up for the year. If we sort of now think about the second quarter, you mentioned better leverage, obviously higher volumes and better recoveries. Is it fair to say that maybe in the second quarter we could see maybe an even better step up compared to the first quarter given that you should have quite a few tailwinds? Any color there? Pretty much appreciate it. Thank you.
Mikael Bratt: Thank you. Three questions. Maybe I start there on Q2 and Fredrik take the SG&A question there. I mean, as you know, we are not guiding by quarters here, but I think, what we are saying here is that you should expect the similar pattern as last year. And with the two percentage points improvement around two percentage points in the first quarter, which also sort translates throughout the year to get to the around 8.5 to 9. And this is said here that in terms of, let's call it [indiscernible] improvement here, it's more geared towards the second half also I would say in line with how last year developed. So, I think that is as much commentary I can give regarding the sequential development on the quarters to come here in 2023.
Fredrik Westin: Yes, and on the SG&A question you can see from our headcount development that are indirect headcount is up around 4.5%. And that's also the case on the SG&A side. And that is to support business here that has grown by 21% year-over-year. That's one factor. Then of course, we have the inflation component also moving into our SG&A cost. It's both on the labor side but also on the indirect spend. And then we had in this quarter maybe a somewhat higher project-related cost. But for the future, our ambition is to also get the right leverage also on our support cost structure. Meaning that we aim to keep the SG&A as lean as possible. And then with the top line growth see a more favorable ratio going forward.
Philipp Konig: Thank you very much.
Operator: We are now going to proceed with our next question. And the questions come from the line of Hampus Engellau from Handelsbanken. Please ask your question.
Hampus Engellau: Thank you very much. It will be interesting if you guys could maybe give us a flavor on how the production at your customers been during the quarter – I mean your call of during the quarter, have they been lumpy or more stable? And how should you think about that going forward? And then on your outlook Mikael the 50% organic growth outlook, is that based on a more conservative number for Europe and the plus 7% that I just got to ask? Those are my questions. Thank you.
Mikael Bratt: Thank you, Hampus. I would say that the volatility has improved, but it's not normalized yet. So there is still some way to go. It varies quite a lot between the different customers here, which will also have been the packed in the last couple of quarters here. That is not one size fits all here in terms of volatility. And it's very much connected to [indiscernible] supply, and also what type of meaning supplier in their turn and also what kind of versions of semiconductors they are using. And as we are seeing here you later have more new technology, you have in your semiconductors, you have some vector position compared to if you have, let's call it the older and more traditional OEM conductors. And there is a lot of activities going on with the ones that are still on the old technology platforms you put down, semiconductors to redesign and resource there. So, our expectation is that it should move in the right direction. And that's also in that space where the semiconductor manufacturers are putting in new capacity. So more work to be done there. But we are moving in the right direction relative to expectations is that we should see less of volatility as well, as we move forward. But as we know, there is a lot of other moving ports going on at the same time that can have some disturbances. And we are seeing that also connected to logistic issues. For example, where we’ll predict say on shipping – certain shipping lines and freight schedules are not as reliable as it was before the pandemic here. So there are also other things going on, on top of the semiconductor issue. So again, that’s the first question. And regarding the outlook and Europe's weight, I guess the short answer is yes to your question. Of course, the cautiousness around Europe that I expressed before is a part of our light vehicle growth of around 3% that is the basis for our organic sales is there. So, yes to your second question.
Hampus Engellau: And may be on that, is it for what you see in your customer base or is it just a general thinking surrounding the European economy and all of that that makes you more cautious?
Mikael Bratt: I think it’s a combination of the two. But of course it is very much connected to the customer interaction, I would say.
Hampus Engellau: Thanks.
Operator: We are now going to proceed with our next question. And the questions come from the line of Vijay Rakesh from Mizuho Group. Please ask your question.
Vijay Rakesh: Yes, hi. Just a quick question. On the – when you look at the global LVP, 3.7% this year, what slowdown are you assuming for the U.S. like second half on first half? And any thoughts on Europe if U.S. slows down? I’m just wondering what the assumptions are.
Mikael Bratt: No, I think our – I mean distribution of our number is not very much different from what you see from S&P Global. I would say, if you see the different ways from the region tariff it ties into to our U.S. well with maybe the exception that we are a little bit lower on Europe, as we said, but that has affected around 3% instead of 3.5%. So it’s already in there. In terms of regional mix, it doesn’t differ too much.
Vijay Rakesh: Yes. And then on China, obviously, it looks like they are assuming a pretty strong growth. Are you assuming any subsidies from China, either on the EV side that drives that LVP in China through the back half as well?
Mikael Bratt: No, it’s nothing we see or story here, and I have on radar screen here. I think overall, we see a high level of activity in the Chinese market here. And as you know, the Shanghai Auto Show is currently ongoing here this week. So a very dynamic market, and we are – I would say, positive to the Chinese LVP...
Vijay Rakesh: Last question.
Mikael Bratt: Yes, go ahead.
Vijay Rakesh: Last question, I know you mentioned 90% of the products have been negotiated with the cost inflation side. Broadly, is there a way to look at what the pricing tailwind would be from the cost pricing negotiations as you run through 2023 because some of these pricing have continued to go up. But just wondering broadly, what’s the ballpark pricing tailwind?
Fredrik Westin: Well, it’s more than 90%. We haven’t said the exact number, but it’s more than 90%. I think the indication we can give is that in the 15% organic growth, we still assume around 3% global LVP. We’ve said around 3% in content per vehicle, and then the remaining to come from pricing and from market share gain and that pricing would be the larger of the two components. And I think that’s as much as we can say on the pricing contribution.
Vijay Rakesh: Okay. Thank you very much.
Fredrik Westin: Okay. Thanks. 
Operator: We are now going to proceed with our next question. And the question comes from the line of Erik Golrang from SEB. Please ask your question.
Erik Golrang: Thank you. I’ll start with two questions. The first one is a follow-up on the pricing comment. If it’s around 5% for the year, how much was pricing up in the first quarter here since you say that there’s more to come. And then the second question on the expectations of LVP stability and visibility improving. I guess that’s completely out in your hands, right? So if that doesn’t happen, how much lower would the full year margin be?
Mikael Bratt: Let me start with the second question, and Fredrik can take the first one there. I mean in our guidance, of course, we are aware of the market situation here, and we are working hard to manage it. So of course, volatility is here, even though we think it’s going to improve. Of course, we need to improve our way to work in such an environment. And I think last year, you saw that we had a significant premium freight. We don’t have that this year. And of course, the quarter that is that we have been improving. And I would say, added on support in our plans to create more stability in our own production to offset that constraint from our customers here. So we find a way to operate in such an environment. And as we move to – we continue to improve that work. It’s not as, Fredrik alluded to before, optimal at this point in time. But the combination of improving and stabilizing what we see from our customers and our own ability should support what we are talking about here in terms of full year guidance. I don’t see any reason why we shouldn’t be able to contain that volatility that we’re talking about here within our framework here. So, I feel comfortable with the current situation.
Fredrik Westin: Yes. And then on the pricing side, I mean, I think we need to refer back to what we said after the fourth quarter earnings for this year. And the way that these negotiations go is that we need to have the cost increases in our cost structure first before we can then get the compensation from the customer. And that has now happened here in the first quarter. As we’ve indicated, the two largest components of inflation that we are facing is – so the impact of the non-raw material-related inflation in our supply base and then the labor cost inflation in our own operations. And those have materialized in the first quarter already with not so much compensation that came in from the customer side. So pricing has remained relatively flat sequentially.
Erik Golrang: So the vast majority of that 5% is not yet in the books.
Fredrik Westin: Correct.
Erik Golrang: Okay. And then a final question on these – the drag from new volumes or new contracts ramping and there being weaker leverage on that initially. I mean that’s something we’ve seen that a couple of times historically. And how I guess you always need new volumes and new contracts to grow over time. So why is that – is there anything you could put a number or frame how much there is the sort of share of new contracts or new volumes this quarter compared to an average or something like that to put it in perspective?
Fredrik Westin: Well, I don’t think I need to explain why they have initially lower profitability. But the contribution from these launches have been significantly larger in this first quarter than what you would typically see. In LVP, it’s up 6%. Our volumes are up significantly more than that. And that’s – it was a larger part of the volume growth that came from these launches than in a more normalized quarter.
Erik Golrang: Okay. So – but that means that the higher outperformance that lower the leverage. Is that always how one should think about it?
Fredrik Westin: Initially, yes.
Erik Golrang: Thank you.
Operator: We are now going to proceed with our next question. And the question is come from the line of Michael Jacks from Bank of America. Please ask your question.
Michael Jacks: Hi, good afternoon. Thanks for taking my questions. Maybe the first one, following on from Fredrik’s comments on the factors that you consider when deciding on the pace of share buybacks. Would it be fair then to assume that there should be somewhat of a linear relationship between your margin and cash evolution through the year and the execution on the program?
Fredrik Westin: Yes. I don’t want to talk to you now about how it develops by quarter. But I think you can look at our normal seasonality and the margin progression that – we’re also indicating here for the year. And I think that’s – those two together gives you maybe also an indication about how the cash flow generation will look per quarter. Then of course, we will be – as I said, it’s not only, say, profitability, but then also means the leverage ratio, which is clearly connected to that, but also the cash flow and the visibility we have in the near term on the market development and our own business development. So yes, somewhat, is maybe my answer to your question.
Michael Jacks: Right. Understood. And then I guess, we’re all now very well used to watching out for downside risks to likely production, but the aggregate unit sales ambitions of the OEMs for this year clearly require perhaps an even higher LVP growth than what S&P is expecting. Just curious if this delta is perhaps visible in the production schedules that your customers have provided to you for the coming quarters.
Fredrik Westin: I mean if I look at what we see for the first quarter that the production volatility is still around us. It’s in – the vast majority of the case is that deviation is on the downside. So meaning that the EDI call-offs we get are then revised downwards for the vast majority of our customers. So maybe that's an indication of where that delta then fits going forward.
Michael Jacks: So they start the quarter then really high and then cut back as the quarter progresses; is that the trend?
Mikael Bratt: Yes, definitely, and very few deviate on the upside, yes.
Michael Jacks: Yes. Thank you.
Fredrik Westin: But at the same time this is not the new phenomena, so it's normally how it looks.
Michael Jacks: Thank you.
Operator: We're now going to proceed with our next question. And the questions come from Mattias Holmberg from DNB. Please ask your question.
Mattias Holmberg: All right. Thank you. A bit of a philosophical one perhaps, and if we look at your customers, the OEMs, where you see some of them basically cutting prices as if it was going out of fashion. So it would be interesting to hear if you can share your view on how lower final selling prices for light vehicle works its way through the value chain, and perhaps more importantly, explain the logic on how you sort of, or meant to raise prices when your customers are generally cutting prices at this point? Thanks.
Mikael Bratt: Yes. This is a philosophical question here, but first of all I think what we are talking about here with our customer is not anything else than the inflationary components of doing business in this industry here. So we're coming with request here to offset external factors. I think in the same fashion that we are being hit with the inflationary costs, then going through customer we have the [indiscernible] before we have, let's say, the negative impact first, and then we get compensation when we [indiscernible] evidence here in our negotiations. I think if you look at our [indiscernible], I think many of them rather have actually increased prices on the core side. Then – what you're referring to there, but I think in a broader extent, I think there is no doubt about that the industry as such are aware of what needs to be done here to compensate the value chain to make sure that we have a sustainable value chain in the industry. So in my discussions with our customers, that's not a factor that we are considering here. We are looking at the facts around inflationary components hitting the value chain here and that's what we are negotiating around.
Mattias Holmberg: Thank you.
Operator: We're now going to take our next question. And the questions come from the line of Dan Levy from Barclays. Please ask your question.
Dan Levy: Hi good afternoon to you. Thank you. First, I think this was slightly alluded to, but maybe you could just talk about on the cash flow, specifically the working capital dynamic, which was quite negative and just the swing of receivable that was a $200 million decline. Could you just explain that movement what we should expect going forward on the working capital fund?
Fredrik Westin: Yes. I mean, it was a bit of an unusual, say, first quarter that sounds that it was a very high month of a month ago, started from January then into December – into March, sorry. And that created a fairly large receivable balance at the end of the quarter. Whereas the other two working capital components, inventory and payables were, they follow us a normal pattern but the very significant sales increase towards the end of the quarter drove up the receivables. But this should normalize then as also the, yes, and we do not expect the same type of growth profile for the next quarter that we have now within the first quarter, and then that working capital buildup should revert somewhat.
Dan Levy: Okay. Great. Okay. Thank you. So the working capital should reverse; great. And then just, want to go to the questions on inflation and specifically your release talked about inflation pressures in Europe, which didn't flag Europe specifically in the past. Maybe you could just walk through the inflation dynamics by region and specific to labor, how labor is evolving, and what has been the tone and tenor of conversations with automakers to compensate on labor?
Mikael Bratt: Yes. I think if I start with the negotiator, I think it is just, what we've said before here, that when, I mean, it's, I would say, it's never easy to discuss and negotiate the price increases with our customers. We were successful in those discussions during 2022 related to raw materials, and we are making progress also here in the non-raw material area. Of course it becomes a little bit more complicated in this space because in difference to the raw material side you don't have the same type of reference points as you have on the raw material side, meaning that each plant and each site and each country are unique. So you need to go through much more of a even more detailed discussion with [indiscernible] that decide, it's very much the same as on the raw material side; so we are making progress in that area.
Fredrik Westin: Yes. I mean, on the, how the inflation is hitting up; in general it's no different from all the data you can get publicly. So it's yes, there's not much to say other than that. I mean, we on the labor cost side there have been some countries where minimum wages have increased significantly or been raised significantly in Mexico. So that has a larger impact, but then also Turkey, where we have large operations is pretty significantly impacted by inflation, of course. But in generally you can look at where these industries are and they're publicly available, and we typically follow them also for the countries that we operate in.
Dan Levy: Okay. And then Europe specifically is there some unique dynamic in Europe?
Mikael Bratt: I think in Europe, of course the war in Ukraine has impacted to some extent here. Of course the energy and also on freight, as the consequence of that, so yes, I mean, each region has their own region so to speak, and we hope the challenge within Europe.
Fredrik Westin: Yes. But on that, and of course energy has been a much larger topic in Europe and also driving them up, the prices of purchase components from our supply base. So that has been significantly more of the challenge in Europe than it has been in other regions.
Dan Levy: Got it. Thank you.
Mikael Bratt: Thank you.
Operator: Due to time constraint we will now end the question-and-answer session here. And hand back the conference to the President and CEO, Mr. Mikael Bratt for closing remarks. Please go ahead.
Mikael Bratt: Thank you, Rafiya. Before we end today's call, I would like to say that we are continuing to execute on productivity and cost reduction activities relying on our strong company culture. Our actions are creating both short-term and long-term improvements, and additionally we are evaluating ways to improve our footprint and to reduce our cost structures. We believe these actions will enable us built an even strong position? Autoliv continue to focus on our vision of saving more lives, which is our most important direct contribution to sustainable society. Our second quarter earnings call is scheduled for Friday, July 21, 2023. Thank you everyone for participating in today's call. We sincerely appreciate your continued interest in Autoliv. Until next time, stay safe.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect your lines. Thank you.